Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:05 Good morning, and welcome to the World Acceptance Corporation’s Sponsored Third Quarter Press Release Conference Call. This call is being recorded. At this time, all participants have been placed on a listen-only mode. After today’s presentation, there will be an opportunity to ask questions. . 0:27 Before we begin, the Corporation has requested that I make the following announcement. The comments made during this conference call may contain certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represent the Corporation's expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical fact as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expressions are forward-looking statements. 01:11 Additional information regarding forward-looking statements and any factors that could cause actual results or performance to differ from the expectations expressed or implied in such forward-looking statements are included in the paragraph discussing forward-looking statements in today's earnings press release and in the Risk Factors section of the Corporation's most recent Form 10-K for the fiscal year ended March 31, 2021, and subsequent reports filed with or furnished to the SEC from time-to-time. The Corporation does not undertake any obligation to update any forward-looking statements it makes. 1:45 And at this time, it is pleasure to turn the floor over to your host, Chad Prashad, President and Chief Executive Officer, please go ahead.
Chad Prashad: 1:54 Good morning. And thank you for joining our fiscal third quarter 2022 earnings call. Before we open up the questions, there are a few areas I'd like to highlight. First of all, I'm pleased to report that we experienced record portfolio growth for the second consecutive quarter, the overall portfolio grew $211 million, or 15.1% during the quarter and $340 million, or 27% year-over-year. This is the largest single growth quarter on record, surpassing last quarter’s $170 million in growth and our prior largest third quarter growth, which was $157 million in fiscal year 2021. 2:35 Further, we experienced this broad expansion the portfolio across all customer types and continue to see tremendous increases in new and returning customer loan volume. When compared to last year, and even pre pandemic levels. Delinquency remains low on a relative basis and within our expectations. It's important to note that with the change to CECL provisioning last year, we expect to grow our provision in real time as our portfolio grows and reduce our provision in real time with seasonal runoff during tax season. 3:06 During periods of this rapid growth, this temporarily depresses net income as compared to our historical delinquency based provisioning model, the loan growth and earlier provisioning of CECL should positively impact revenue and income and future quarters. We expect the origination cohort performance to remain relatively consistent in the near term, based on several factors, including overall economic environment, changes to our credit underwriting over the last year and increases of – an increase of larger loans to retain the most attractive option for our best customers. We continue to expect to hit our long term incentive EPS target before the end of fiscal year 2025. 03:47 As a result of these changes, today, over 43% of our portfolio is below 36% APR and 56% of our portfolio is below 54% APR. Demonstrating our ability to offer attractive loan terms to increase retention of our best customers. 4:04 Finally, as we closed out this calendar year 2021, we have much be thankful for at World first, our branch team in those who support them have done tremendous job of navigating the last two years during the COVID pandemic. Putting our customers and their needs and their safety first. We continue to win top four place awards across the country, including most recently Oklahoma, South Carolina (ph) Tennessee, and New Mexico this year. In addition to being South Carolina (ph) is only top workplace USA winter in 2021, truly reflecting the incredible work family that our team is creating, and I could be prouder of them. 04:38 At this time, Johnny Calmes, our Chief Financial and Strategy Officer. We would like to open it up to questions about our third quarter fiscal 2022 earnings.
Operator: 04:49 Thank you. We will now begin our question-and-answer session.  And the first question will be from John Rowan from Janney. Please go ahead.
John Rowan: 5:20 Good morning, guys.
Chad Prashad: 5:22 Good morning.
Johnny Calmes: 5:23 Good morning.
John Rowan: 05:24 Chad, I just want to just suppose two comments that you just made. So, you talked a lot about the upfront provisioning for growth and how origination volume is going to the strong as it was recently or going forward, we're going to have similar origination trends. But then you also talked about there being a benefit somewhere down the line to net income, presumably when all of this provisioning from growth abate a little bit, right? I'm just trying to figure out, those two comments about that benefit in the net income from what I'd presume is growth abating, It doesn't seem like those who are lined up, correctly in time if we're going forward, right? So, I'm just trying to get a sense of when we see this provisioning from growth start to ease up and that benefit that you alluded to come back into the P&L?
Chad Prashad: 6:28 Yeah, it's a great question. So, I think there's a number of things that play here. First and foremost, we snap back in terms of demand over this fiscal year, pretty rapidly compared to last year. In calendar year 2020 during the pandemic, demand was greatly depressed for 12 to 14 months and then during the spring of 2021, we really began to see demand, come back pretty rapidly once the last round was stimulus abated. 07:01 Coming into fall and in the winter, we've seen tremendous growth as well. So I think, one thing to think about going forward is, we experienced rapid growth in the portfolio due to mapping back from the depressed demand from the year prior so that's one thing to think about and the other is, we typically have, fair amount of runoff in the portfolio during our fiscal fourth quarter, which is the quarter that we're currently in now, during tax season. So if you put those two things together, we experienced, kind of an unprecedented ramp-up in the portfolio, during the last two quarters, especially this past quarter. So, along with that, we've also had increased provision accordingly. And then we're getting ready to enter into our fourth quarter, which is typically when we have that runoff. One thing to think about going forward is, we don’t – we are not forecasting what we think our demand will be and what our portfolio growth would be. But to the question about when does this provision build kind of payoff in terms of reconciling these two statements. It's really a matter of when growth continues to be substantial, but it doesn't necessarily continue to accelerate at the same rate and what we’ve seen in the last two quarters, especially pretty substantial acceleration in growth, that's unprecedented and we've – as I just mentioned, we set the second quarter in a row of historical growth for the company. When that begins to slow, then we'll begin to pull back on that provision.
John Rowan: 08:43 Those are fair to say that maybe once you start anniversarying the last two quarters of substantial growth, kind of the optics of keeping that historic growth record on track is obviously just mechanically a lot more difficult. Would that be kind of the targeted range of when we see this heavy provisioning start to ease up?
Chad Prashad: 9:08 Certainly, whenever that growth begins decelerate, right? And still be substantially yet decelerate, we'll begin to see that. So, there's the annualized view of that, so when we begin to lap the last two quarters. But again there is that fourth quarter where typically we have substantial runoff in the portfolio, and that's also, I think where you’d begin to see it pretty rapidly.
John Rowan: 9:31 Okay. And then turning to credit, obviously, charge-offs were up, we can all look back at the pre-COVID numbers and see that the charge-offs were really not asymmetric relative to pre-COVID, but there was a different portfolio composition between large and small loans prior to COVID, just where you expect to be on charge-offs with this portfolio composition and then just, I guess a real simple question. On comfortably mature pool, our charge-offs higher or lower on large loans versus small loans? Charge-offs rate, not dollars. Thank you.
Chad Prashad: 10:15 Yeah. So let me answer that first, the last question first. So from the way that we provision from CECL perspective, we look at each individual loan, how it's made, compared to cohort of that same credit quality/tenure of customer in the past and yeah, typically, you're going to see your larger loans have a lower charge-off rate and provisioning rate than your smaller loans. More importantly, you're going to see your higher credit quality customers, you have the same thing with lower provisioning and expected charge-off rate than your smaller loan customers and lower credit quality customers. And those two things are typically very highly correlated, right? 10:59 And in terms of what this, the portfolio looks like today, we have experienced record growth again, the whole portfolio. But in terms of new customers, new customers are up substantially year-over-year, even within the quarter, we grew roughly a third in terms of new customer balance and again, each of those is provisioned accordingly. So what does this look like, going forward and what is the mix look like and also the corresponding provision. A lot of it depends on what the opportunity is, and demand is in the market, right? 11:37 So to the extent that we continue to see good opportunity with you customers. We'll continue to expand credit to them, to the extent that we can continue to retain our best customers with more attractive rates and products than we'll continue to do as well. So it's tough to say what this looks like in the future in terms of product mix, It's more opportunistic than anything else.
John Rowan: 12:00 Okay. And just last question, why was the tax rate so low in the quarter and what is the correct tax rate going forward?
Johnny Calmes: 12:09 Yes. I can answer that, John. So the – we saw a lot of windfall tax benefits during the quarter as we had some share investing and stock option exercises, that exercise, that share price is much higher than what the right net fair value was. That was driving that a lot of that. We would still under normal circumstances. We are still thinking that 21% to 23%, so the reality is, if the share price stays elevated, we had one large grant three years ago. You'd you still expect to see those, some of those windfall tax benefits in the future as well, right? So that was just not – it's not very predictable what that's going to be.
John Rowan: 13:03 Okay. Thank you very much.
Operator: 13:12 The next question will be from Vincent Caintic from Stephens. Please go ahead.
Vincent Caintic: 13:18 Hey thanks. Good morning. Thanks for taking my question. In the comments you reiterated your expectation to meet the fiscal 2025 EPS performance target and I was wondering if you could help us, maybe just understand your, the medium term view, how you get there in terms of the loan growth and then I guess you have the credit and so forth if you just help us walk through to that? Thank you.
Chad Prashad: 13:49 Sure, I'll start and John, if you want to join in please, please do as well.
Johnny Calmes: 13:54 Sure. Yes.
Chad Prashad: 13:56 Yes. So, in terms of overall portfolio growth, we certainly expect to continue to grow. Whether we continue to go with this rate is still be determined. As I mentioned before for John Rowan and a lot of it's opportunistic in terms of how we grow the portfolio and customer base and then also on the customer retention side. We've done a number of things in the past couple of years to dramatically reduce our servicing cost and enable us to continue to grow and move more towards a fixed cost model in terms of servicing versus a marginal cost model. Meaning that a lot of our branches, the way that they are structured today can grow substantially and in terms of customer base and certainly in terms of the portfolio without having to add, significant amount of cost there. 14:46 We've also introduced a number of things in terms of customer service and the channels that our customers can access their accounts, and increase the self-service options, so that helps us towards that goal. So in the future, the kind of the math that we're seeing here at a high level is to reduce cost – reduce our servicing cost, while continue to grow the portfolio. And then from a credit perspective, we've done number of things over the last year to proactively monitor and seek the highest credit quality customers, we can especially in the new customer side. Continuing to do that, so that, we keep close tabs on what our expected losses are in our corresponding provision. And so that over time, especially with the amount of repurchases we've made on the stock, repurchase plan over last two or three years. We firmly believe that can hit those targets by the end of 2025.
Vincent Caintic: 15:47 Okay. Great.
Chad Prashad: 15:48 I think I covers it, right.
Johnny Calmes: 15:49 Yep.
Vincent Caintic: 15:51 Okay, great. Thank you. And I just a follow-up to John Rowan’s question just, and I understand there is seasonality with the credit provisions in the next quarter, you usually get lower – the lowest credit provisions out of the year, I guess when you look at the delinquencies and charge-offs climbing, just, I guess it's hard, but kind of wondering if we should continue to expect that especially that could seems like you have, you're growing quickly. And I guess maybe thinking medium-term, we have a lot of new customers, but is kind of the medium term view that eventually those new customers become existing customers and so you go from that indexed charge-off rate of, I think it's 1.5 times to your returning customer rate of, it’s 80% of the index. So I guess medium-term, are you expecting your MCL (ph) rate to drop significantly once you are matured with the business?
Johnny Calmes: 16:54 Go ahead.
Chad Prashad: 16:56 Go ahead, John.
Johnny Calmes: 16:58 Yes, I think long-term that's true, right, But in the short-medium-term, there is still needs be just normalization, right? So, we set in earnings release that zero to five months customer, right? has grown substantially since last year, right? It grew from 8.6% to the portfolio to 13.8% right? So you see that having already – having the impact on delinquency and charge-offs will follow that, right and normalize over the short-term. But, yes, but as those customers are mature and we continue to grow that backlog of longer tenured customers. Long term audits like that, the charge-off rate and delinquencies to ease that down, probably lower than historical levels.
Vincent Caintic: 17:51 Okay. Great. Thank you. And last one for me and I'll get in the queue. Just I noticed that the, so in the script, you mentioned trending costs climb 200 basis points. I was wondering if you could talk about kind of the funding in more detail, what drove that higher and what levels we should expect going forward? Thank you.
Chad Prashad: 18:11 Yeah, sure. So as you recall, we issued some bonds in the second quarter right at the very end of second quarter in September 27, I believe it was. So we've actually swapped 4.5% variable rate debt for 7% fixed rate debt right at the end of the quarter. So the combination of that driving the rate up as well as just the growth and buybacks during the quarter, driving the outstandings up, is this what droves the, the interest expense up. We haven't seen an increase in the rate on the web rate that yet. So we're still at the floor on that is priced to one month to Libor, which is significantly below the 1% floor. So there'll – need to be several interest rate hikes before we start to see the impact on that portion of the debt.
Vincent Caintic: 19:13 Great. Thank you.
Operator: 19:28  And we have a follow-up again from Vincent Caintic from Stephens. Please go ahead.
Vincent Caintic: 19:34 Okay. Yeah, thank you for that. So just last one for me. So you are sure purchase activity has been pretty strong. Your debt equity leverage is already at 1.8 times. So I'm wondering if you could talk about what you're thinking in terms of your ability to continue the elevated level, so share repurchases and what your target is? Thank you.
Johnny Calmes: 19:57 Yes. Sure, sir. Yes, historically we've always said, we have a target of two to one debt equity. And that our leverage ratio is always the highest at that December quarter, just because of funding all the growth that happens in Q3. So we'd expect to see some natural deleveraging in the fiscal fourth quarter as the portfolio runs off. 20:23 But we have as we said in the earnings release, we have $84 million available under the debt agreements to repurchase shares and that'll only continue to build as we continue to add net income over the future periods. I think we'll continue to repurchase shares and learn with that.
Vincent Caintic: 20:55 Okay. Great. That’s all I have. Thanks very much.
Operator: 20:59 Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Chad Prashad for any closing remarks.
Chad Prashad: 21:09 Thank you. Thank you guys for joining us today. And this concludes our third quarter earnings call. We look forward to chatting next quarter. Thank you.
Operator: 21:19 Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.